Operator: Good morning, ladies and gentlemen, and welcome to the Piper Jaffray Companies conference call to discuss the financial results for the third quarter of 2013. [Operator Instructions] The Company has asked that I remind you, statements on this call that are not historical or current facts, including statements about beliefs and expectations, are forward-looking statements that involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company's earnings release and reports on file with the SEC, which are available on the company's website at www.piperjaffray.com, and on the SEC website at www.sec.gov. This call will also include statements regarding certain non-GAAP financial measures. These non-GAAP measures should only be considered together with the company's GAAP result. Please refer to the company's earnings release issued today for a reconciliation of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release is available on the Investor Relations page of the company's website or at the SEC website. As a reminder, this call is being recorded. And now I'd like to turn the call over to Mr. Andrew Duff. Mr. Duff, you may begin your conference.
Andrew S. Duff: Good morning, and thank you for joining us to review our third quarter results. I will spend a few minutes discussing the market environment and the performance of our businesses, and then hand the call over to Deb to review our financial results. Assessing the market environment at high level, we continue to see gradual improvement in the equity markets, while performance in fixed income markets remain significantly influenced by the Fed's plans related to their current quantitative easing program. Addressing equity markets first, the S&P index was up almost 5% for the quarter and 18% for the year, as funds flowed into equities have been positive for each quarter this year, reversing a 2-year trend of outflows. As might be expected, our asset management business benefited from these market trends. Market appreciation was particularly robust in the growth sector stocks, which provided further conditions for capital raising in key sectors where we compete. Conversely, despite the favorable market conditions, U.S. equity trading volumes were down for the quarter and the M&A activity remained relatively soft. In the fixed income area, as we expected, interest rates gradually increased through most of the quarter in reaction to the Fed's guidance in June that they intended to taper QE3 purchases in the near future. This adversely impacted trading volumes as investors reduced trading activities while they assessed uncertainties related to the Fed's activities. Rising interest rates also had a negative impact on public finance issuance as debt refundings became less attractive. Early in September, however, the Fed reversed course on its plans to taper its QE3 program. Bonds rallied on the news as interest rates declined to June levels and spreads on municipal bonds narrowed. This had a positive impact on our sales and trading activities, however, new issuance activity in public finance remained low throughout the quarter. Despite the recent decline in interest rates, our operating assumption still calls for a gradually increasing rate environment. Moving on to the performance of our various businesses, our equity capital raising group produced very strong results for the quarter. Our healthcare group led the way by managing 15 offerings in the third quarter, including serving as a bookrunner on over half of these offerings. The investments we made earlier in the year in strengthening our biotech group are beginning to pay off as the biotech team made meaningful contributions to our healthcare results. As we head into Q4, it appears that investors still have an appetite to invest in growth sector companies. Our M&A business put up a solid quarter, generating revenues in Q3 that were greater than our M&A revenues through mid-year. Year-over-year, we are slightly down compared to 2012, which is in line with the broader market. Despite strong equity markets and available financing, the market remains well below peak levels last seen in 2006 and '07. We attribute the lack of market momentum to relatively low growth in the broader economy and considerable uncertainty regarding government policies. On a more positive note, integration of Edgeview, which we closed in July, has proceeded smoothly. In the third quarter, they closed their first 2 transactions as part of the Piper Jaffray team. Our equity sales and trading business continues to build momentum. Q3 represented the fifth consecutive quarter of sequential improvement in revenue. The improvement was driven by better trading results and execution of a block trade where we provided additional liquidity to an underwriting client. For the quarter, our equity business was up 28% over the third quarter of 2012 in a market where broader trading volumes have declined 4% year-over-year. In public finance, challenging market conditions adversely impacted our results where we were down both sequentially and year-over-year. On a year-to-date basis, our business was down 3% versus 2012, while negotiated new issue volume is down 16% for the entire market. Our investments and expansion efforts over the past couple of years continue to bear fruit as Piper Jaffray is the only underwriter in the top 10 to actually increase its new issue volume compared to the last year. Integration of Seattle-Northwest, which we closed in July, is substantially completed and the business is performing in line with our expectations. Fixed income sales and trading rebounded significantly in the quarter as we overcame the rate shocks we experienced late in the second quarter. Revenue for the quarter moved back into the range we might expect for the business given the current environment as we manage our way through a gradually increasing rate environment through the first part of the quarter and benefited from declining rates late in the quarter. Given the potential for outsized impacts arising out of the Fed's policies, we continue -- we could expect an ongoing volatility in the business. Nevertheless, we will continue to manage our inventories and hedging strategies to mute market volatility as much as possible. In our asset management business, net new assets flows were neutral for the quarter. At the end of Q3, we had $10.6 billion of assets under management. The business continues to produce strong margins and meaningful contributions to our earnings. Now, I'll turn the call over to Deb to review our financial performance for the quarter.
Debbra L. Schoneman: Thanks, Andrew. In the third quarter of 2013, continuing operations generated net revenues of $128 million. Net income from continuing operations was $6.9 million, or $0.42 per diluted common share, and our pretax operating margin was 9.4%. The results for the quarter were reduced by a $0.15 per diluted common share due to a $2.3 million after-tax charge related to restructuring and integration costs associated with our acquisitions of Seattle-Northwest and Edgeview. Excluding these costs, our net income from continuing operations was $9.2 million, or $0.57 per diluted common share, and our pretax operating margin was 12.4%. For the third quarter of 2013, compensation and benefits expenses were 61.9% of net revenues compared to 59.4% and 65.1% for the third quarter of 2012 and second quarter of 2013, respectively. The compensation ratio was lower compared to the sequential quarter due to an increased revenue base and higher than third quarter last year due to the shift in business mix driven by the strong strategic trading revenues in the prior year, particularly in the mortgage-backed strategy. The compensation ratio of 61.9% in the third quarter of 2013 includes retention related compensation associated with the 2 recent acquisitions. Non-compensation expenses were $36.8 million for the third quarter of 2013 compared to $28.1 million in the year-ago period, and $31.4 million in the second quarter of 2013. Third quarter non-compensation expenses included $3.8 million of acquisition-related restructuring, integration and transaction cost. In addition, intangible amortization increased $1.2 million in the quarter, related to the acquisitions of Seattle-Northwest and Edgeview. Excluding these acquisition-related expenses, third quarter non-compensation expenses were $31.8 million, which is in line with our goal of $31 million to $32 million. Our effective tax rate from continuing operations, excluding the impact of noncontrolling interest, was 29.6% for the third quarter of 2013. Our reduced tax rates for the quarter was due to the impact of tax-exempt interest income representing a larger proportion of our pretax income than prior periods. Now I'll turn to the segment results. For the third quarter, capital markets generated net revenues of $110.3 million, pretax operating income of $6.4 million and a pretax operating margin of 5.8%. Third quarter results were impacted by $5 million of restructuring and intangible amortization expenses related to our recent acquisitions. Excluding these expenses, our margin would have been 10.3% in the capital markets segment for the third quarter of 2013. Net revenues decreased 4% compared to the third quarter of 2012 due to declines in fixed income financing revenues from fewer completed transactions and lower revenue from fixed income institutional brokerage, particularly in our mortgage-backed securities strategic trading activities. These reduced revenues were offset by improvements in equity financing, M&A and equity institutional brokerage revenue. Our fixed income financing revenues were negatively impacted, in part, by higher interest rates reducing refinancing activity. Fixed income institutional brokerage revenues continued to be negatively impacted by lower transaction volumes due to uncertainties surrounding Federal Reserve policies. While the fixed income market faced challenges, the strong equity markets drove increases in our equity financing business. M&A revenues for the quarter were relatively strong compared to the broader market as we completed more deals, especially in the healthcare sector. Pretax operating income was lower compared to the year-ago period due to lower net revenues and higher non-compensation expenses, and improves compared to the second quarter of 2013 due to higher net revenues. The non-compensation expenses were higher in the current quarter, primarily due to the acquisition-related expenses that I mentioned earlier. Asset management, generated $18.1 million of net revenues, $5.7 million of pretax operating income and a pretax operating margin of 31.6%. The operating margin improved compared to both the year-ago period and sequential quarters due to higher net revenues. Assets under management were $10.6 billion compared to $10.2 billion at the end of the second quarter, and $9.2 billion in the year-ago period driven by market appreciation. As Andrew noted earlier, we closed on our acquisitions of Seattle-Northwest and Edgeview Partners early in the third quarter. Both of these acquisitions have been fully integrated with our existing business lines and we are achieving the expected operational and cost efficiencies. We incurred restructuring, integration and transaction costs of $3.8 million in the third quarter of 2013 related to these acquisitions. We expect to occur approximately an additional $1 million in restructuring and integration costs in the fourth quarter. In addition, we began amortizing the intangible assets acquired as a result of the acquisitions in the third quarter. We allocated $6.9 million to definite live intangible assets, which will be amortized over periods of 2 to 5 years. Amortization expense related to customer contracts and relationship is heavily front-ended to match the expected revenue generation with approximately 55% of the amortization to be expensed in the first 12 months. Turning to the balance sheet. In the third quarter of 2013, we acquired $29 million, or approximately 900,000 shares of our common stock at an average price of $32.79 per share. We have $40.7 million remaining on our share repurchase authorization, which expires on September 30, 2014. Now I'll discuss discontinued operations, which includes both our Hong Kong capital markets business, which we shut down last year, as well as FAMCO, an asset management subsidiary we sold in the second quarter of 2013. For the third quarter, the net loss from discontinued operations was $1.5 million, which was principally driven by additional expense from contractual obligation, related to the sale of FAMCO. This concludes my remarks, and I'll turn the call back to Andrew.
Andrew S. Duff: This concludes our formal remarks. Operator, we would now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: It seems like the muni market continues to be a source of weakness for a lot of brokers. I mean, is there -- are there any catalysts you see in the near term that could get us back to sort of levels we were seeing a year ago, or is this just a longer-term issue that we're going to be dealing with?
Andrew S. Duff: I think it -- we expected to improve modestly in the fourth quarter. I'm talking about new issue volumes versus the third quarter. Clearly, the increased rates has some impact on refundings. When you look at it on a longer-term basis, we do think there is significant new issue volume, new capital needs, kind of across the country for a variety of capital improvement. So I think longer term, we have a positive outlook but nearer term, refundings clearly are impacted by increased rates.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then in terms of the fixed income trading business, can you give us a sense for sort of how much of the revenues came from the strategic trading group or just customer flow business?
Debbra L. Schoneman: Sure. So our fixed income institutional brokerage line does have 2 components to that business this year alluding to both our customer flow and our strategic trading. And while our strategic trading revenues are meaningful, our customer flow revenues have been and will continue to be the majority of the revenues within that fixed income brokerage line.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then any -- sort of sticking with that theme, did you see any sort of changes in your inventory levels given that we have this fairly meaningful dislocation in the muni and fixed income market to the end of last quarter?
Debbra L. Schoneman: Yes. So we have reduced inventory levels on several of our desks. There are some inventory levels that are up from as we've been building out mortgage products for our middle-market business. But overall, inventory levels, we've really -- I guess I would say had a bias towards managing our risks down in the current environments, really across our products and inventory levels are just one measure of really, our risk appetite. Other factors are hedging, the duration of our inventory there's a lot of thing that we look at to really manage that risk.
Andrew S. Duff: And I guess I would just underscore that we're very actively monitoring our hedges and our turnover assuming some volatility and generally rising interest rates.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then other income was a little bit stronger than we were modeling. Can you just give us a little bit of color on sort of where the strength in that line item is coming from?
Debbra L. Schoneman: Yes, the strength in that line was coming from realized gains in our merchant banking portfolio. There was actually some realized and unrealized gains there but majority was realized gains and this current environment has been favorable for that business and if the environment remains so, we believe it should drive additional liquidity events in that portfolio.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then just lastly for me. I know you guys seem to indicate that certainly the Fed actions have been a big impact on the fixed income markets. Are you seeing any changes in issuer activity due to what's going on in Washington surrounding the government shutdown or the debt ceiling issues?
Andrew S. Duff: Again, I think I just refer back. Our new issuance volume is predominantly municipal, so I'd make the same comments. Some impact on refundings but longer term, I think it's just quite a bit of pent up capital needs. So it may be in short term related directly to activity is just the interest rate impact.
Operator: The next question comes from the line of Devin Ryan with JMP Securities.
Devin P. Ryan - JMP Securities LLC, Research Division: Just may be following up on that question from Joel on the government shutdown, any impact on the equities business or issuance or do you expect any delayed impact if this discontinues?
Andrew S. Duff: So, yes. I think one of the measures that ultimately has an impact is the volatility and that's still in a range where the risk appetite in capital raising are functioning quite well.
Devin P. Ryan - JMP Securities LLC, Research Division: Okay. And then can you speak a bit to your expectations for Edgeview and Seattle-Northwest? I'm not sure if you can give any additional detail around kind of revenue expectations. I know that you said they're kind of going as expected but any additional detail in terms of how they started to contribute. I'm assuming that given when they close there's probably very minimal contribution but you're carrying the cost as well. So also, I would like to know if that could have some positive impact on the comp ratio just as additional revenues come on board and a little more flexibility on the actual ratio?
Debbra L. Schoneman: So related to the revenues, we have seen contributions from both Seattle-Northwest and Edgeview in the quarter, really in line with our expectations, so we feel good about that. And then how that may impact the compensation ratio, definitely over time. As revenues grow, it can have a positive impact on our compensation ratio but mix of business also impacts that. And the one thing I would add is there isn't some impacts to our comp ratio for the accounting -- the impact of amortization of acquisition-related compensation that was part of the structure of both of those deals. So as you had deal more revenue, we also have some additional comp expense related to the acquisition.
Devin P. Ryan - JMP Securities LLC, Research Division: Okay. But I mean is it fair to assume that given when these deals close, that the revenue contribution is only a small percentage of kind of where you expect they'll be on a full run-rate basis?
Andrew S. Duff: I say that's fair.
Debbra L. Schoneman: Yes, yes.
Andrew S. Duff: We both closed in late July, some transition.
Debbra L. Schoneman: Yes.
Devin P. Ryan - JMP Securities LLC, Research Division: Yes. Okay, great. And then just coming back to the fixed income institutional business, maybe looking at Joel's question a little bit in a different way, can you give us any sense of customer activity and kind of how that trended this quarter versus last quarter? Obviously, last quarter was negatively impacted from the strategic and then this quarter, maybe had some positive impact, so that created a little bit of noise on the comparisons, but how was customer activity in the third quarter relative to the second quarter?
Andrew S. Duff: So I would say that client activity remained quite low but built during the course of the quarter. And it really has driven around the macro uncertainty of some of the issues being resolved in Washington and we would expect as they get resolved, which we do anticipate, that volume should tread upwards.
Devin P. Ryan - JMP Securities LLC, Research Division: Okay, great. And then just last question. On the integration and restructuring expenses, what is the majority of that comprised of? Can you just give a little bit detail in terms of what is -- what are the components of that?
Debbra L. Schoneman: Yes. So the vast majority is severance-related. As we combined these organizations especially on the Seattle-Northwest transaction, there were a lot of cost synergies, so that is primarily what it's driven by. The other piece, I would say that's fairly meaningful, it's just that technology as there were duplicate contracts and we were -- had some charges related to consolidating technology between the organization.
Operator: [Operator Instructions] Your next question comes from the line of Michael Wong with Morningstar.
Michael Wong - Morningstar Inc., Research Division: I believe you said that Edgeview completed 2 M&A deals in the quarter, so that means 9 were already in Piper Jaffray's pipeline, which I would say is pretty good. Are you seeing continued momentum in your M&A deals or has it stalled quite a bit lately?
Andrew S. Duff: No. As we've been saying throughout the year, our pipeline was weighted towards the second half of the year and we continue to execute on that. Depending on market conditions, we anticipate having a solid close to the year and the trend to continue.
Michael Wong - Morningstar Inc., Research Division: Okay. And just kind of looking at the equity sales and trading revenue, since the second quarter of 2012, was actually -- you've had a pretty gradual increase there. Is there anything specific you've been doing to build that up -- build that out? Or would you say just kind of somewhat better environment and you're just participating in it?
Andrew S. Duff: I'd say it's more than that. There's some share gains and I would note that we're driving the revenue increases without growing the headcount. We're managing our capital very effectively. Our loss ratio is down year-over-year and the environment is conducive to capital markets clients considering block trades. But our focus has also been very much on areas where we're the most differentiated, putting all of our resources and capital there and actively managing our sales coverage, so part of it is market share gains as well.
Operator: And there are no further questions at this time.
Andrew S. Duff: Well, thank you, all, for joining us. In summary, we produced strong results in our equity-related business in the quarter and improved performance in our fixed income. We continue to focus on increasing revenues, gaining market share and enhancing our return on equity. Thank you for joining us.
Operator: And ladies and gentlemen, with this, we conclude today's presentation. We thank you for joining. You may now disconnect.